Operator: Good morning. My name is Dennis, and I will be your conference operator today. At this time, I would like to welcome everyone to the Nokia First Quarter 2012 Earnings Conference Call. [Operator Instructions] I will now turn the call over to Mr. Matt Shimao, Head of Investor Relations. Sir, you may begin.
Matt Shimao: Ladies and gentlemen, welcome to Nokia’s First Quarter 2012 Conference Call. I am Matt Shimao, Head of Nokia Investor Relations. Stephen Elop, President and CEO of Nokia; and Timo Ihamuotila, CFO of Nokia, are here in Espoo with me today. During this call, we'll be making forward-looking statements regarding the future business and financial performance of Nokia and its industry. These statements are predictions that involve risk and uncertainties. Actual results may therefore differ materially from the results we currently expect. Factors that could cause such differences can be both external, such as general, economic and industry conditions, as well as internal operating factors. We have identified these in more detail on Pages 13 through 47 of our 2011 20-F and in our quarterly results press release issued today. Please note that our quarterly results press release, the complete interim report with tables and the presentation on our website include non-IFRS results information in addition to the reported results information. Our complete interim report with tables available on our website includes a detailed explanation of the content of the non-IFRS information and a reconciliation between the non-IFRS and the reported information. With that, Stephen, over to you.
Stephen A. Elop: Thank you, ladies and gentlemen, for joining us today for the Q1 2012 earnings call. We were clearly disappointed with our performance in Q1 2012. It reflects both the transition that Nokia is currently undergoing as well as the increase in competitive pressures within our industry. I would like to take some time to put these results into context. In February 2011, we identified shifts in our industry and internal challenges at Nokia that were contributing to the deteriorating conditions and prospects for our company. Most notably, we described how the mobile industry shifted from a battle of devices to a war of ecosystems. In response, we implemented a series of strategic changes and embarked on a major transformation. This included 5 distinct aspects of our new strategy. First, we entered into a comprehensive partnership with Microsoft to improve the competitiveness of our smartphones and to differentiate against Android and Apple. With this unique partnership, we gained advantages and have for instance received continued support from Microsoft in the form of go-to-market and R&D cooperation that this year alone will total USD $1 billion. We are pleased with the rate at which we have turned the Microsoft partnership from strategy to implementation. We have launched 4 Lumia devices ahead of schedule to encouraging awards and popular acclaim. Doubling the number of Lumia devices sold quarter-on-quarter is a respectable pace. However, the sales results have been mixed. We exceeded expectations in markets like the United States, but establishing momentum in certain markets, including the United Kingdom, has been more challenging. Our initial foray into the United States was with the Lumia 710 at T-Mobile U.S.A. Together with T-Mobile, the retail execution of this product was well done, and we exceeded our sales expectations. Now, we are working very closely with AT&T to replicate that success on a larger scale with the Lumia 900. To date, we are exceeding our and AT&T's expectations. At retail, teams are responding quickly to the stock-outs. Additionally, after launching the Lumia 900, the device became the best-selling and best-rated product on Amazon.com in the United States. As part of our efforts with Microsoft, we are focused on attracting developers to the ecosystem. This is also an area where we have exceeded our expectations. Most notably, we will soon have more than 2/3 of the top 100 applications from competing ecosystems on the Windows Phone marketplace, and that continues to grow. Additionally, through developer evangelism, training, products seeding and a variety of tactics, the rate of Windows Phone application development is accelerating. Today, we have more than 80,000 apps across 54 markets and in 23 languages. We expect this number will accelerate as Microsoft introduces Windows 8 for PCs and tablets and the next versions of Windows Phone. The second aspect of our strategy is to increase our investment in connecting the next billion people to the Internet through our Mobile Phones business unit. The lower-priced tiers of our industry are undergoing a structural change. That is, feature phones are increasingly being pushed down by smartphones. And yet the market opportunity for low-priced devices remains a very lucrative business opportunity. Therefore, it is the mission of the Mobile Phones unit to capture this opportunity. In the area of Mobile Phones, we continue to renew our Series 40 portfolio. For example, we recognized the need for dual SIM and delivered 8 dual SIM devices over the past year. We delivered consumers more aspirational designs and experiences through 7 new Asha products. The Net Promoter Scores for some Asha devices are the highest we've had for Mobile Phones products. We acquired Smarterphone, a Norwegian company that brings new user interface technology and expertise to Nokia. We've increased download rates from feature phones to more than 4 million a day by improving store access and payment schemes and adding new apps like Whatsapp, Foursquare and EA. We released a new version of Nokia Life, which delivers education, health, agriculture and entertainment services via SMS. And we delivered a new proxy browser, and we're now bringing the browser and web apps down to super low-end devices. However, as we highlighted last week, there are still areas where our future phone portfolio is at a competitive disadvantage. We plan to address some of these issues in Q2. That being said, the structural shift from feature phones towards low-priced smartphones is a challenge. Our increased investments in Mobile Phones R&D are intended to address these challenges. We deliberately speak very little about the third pillar of our strategy, future disruptions. We are identifying ways to challenge the shortcomings of today's experiences. We are doing works -- work in areas like materials, user experiences, power management and even the very nature of what will, in the future, constitute an ecosystem. Relative to our strategy, we also talked about a fourth area: the importance of differentiation. This includes the Windows Phone ecosystem, but it also includes our distinctive designs, which are breaking through. We have also begun to demonstrate the potential for photography and optics to play an important role in differentiation. The Nokia 808 PureView is a generational disruption in photography. And yet an area of potentially the greatest differentiation lies in Location & Commerce. We are expanding beyond the licensing of mapped data and provisioning of navigation services. We are developing the leading horizontal platform for location-aware experiences. We also are focused on new revenue opportunities from new experiences from advertising and licensing opportunities and providing a source of differentiation for Nokia devices. And finally, the fifth aspect of our strategy is to change the way we work. We are establishing a clear sense of urgency and increase in the clock speed of our company. Last week's news highlights that there is still a lot of improvement ahead so that we can lead and not react to the competitive dynamics in the market. In totality, the intent of the strategy is to reaffirm Nokia's position of strength in the mobile industry and to deliver superior financial results to our shareholders. With that assessment of our progress against our new strategy, we also recognize that our industry continues to evolve. Relative to our assessment in February 2011, there are many changes in and around, for example, the Android ecosystem. For example, there's the proliferation of lower-priced Android devices, which is happening very quickly. There is a rise of well-funded, branded Chinese manufacturers. Companies like Amazon are fragmenting the Android ecosystem. Google is planning to acquire Motorola mobility. Samsung has emerged as the strongest Android OEM, and some believe they are using their strength to put pressure on other price segments. At the same time, there's a shift in the competition within the feature phone space. There is serious consolidation, and historical players are decreasing their presence. And new Chinese micro vendors and ZTE and Huawei are aggressively moving to the highly congested and competitive low-end Android space. Also relative to our assessment in February 2011, market conditions in China have changed and present a serious challenge to us. In the past, distribution of mobile devices in China was primarily through networks of distributors and resellers. However, operators are now rapidly driving bundled purchases of devices and data plans all at price points designed to increase the number of 3G data subscribers. This is happening at price points and configurations where we need to increase our competitiveness. And finally, relative to February 2011, we have learned about the challenges to break through with the third ecosystem. Because of the acceleration of Android and the strength of Apple, we have work to do to break through to consumers with an alternative point of view. For example, we are educating and motivating retail sales associates to champion our products. Both T-Mobile U.S. and AT&T are good examples of where we are beginning to break through. Thus, factoring in progress we have made on our new strategy, plus the new challenges we face in this dynamic market, we are assessing our next steps. In the near term, we believe that we are in the first rounds of this war of ecosystems. And the changes in the environment reaffirm our belief in and commitment to Windows Phone. We are, however, taking near-term action to increase the trajectory of Lumia sales. We will pursue step-function changes through 4 distinct initiatives. First, during Q2, we are shipping the Lumia 900 as our new hero device and the Lumia 610 as the lowest-priced Lumia device. We are bringing these devices to more than 30 countries around the world, so the first emphasis is on broadening the portfolio. Second, Q2 is the first quarter where we will have full sales of Lumia in major markets, like Brazil and Mexico, and during which we will extend our market reach with major customers like AT&T and China Telecom. We aim to continue our geographic expansion into new markets throughout Eastern Europe and across Asia. Third. We are quickly addressing some of the most highly requested feature requirements coming from our consumers through accelerated engineering with Microsoft. This includes: Wi-Fi hotspot tethering capabilities; Vcard sending and receiving, which turns out to be the most often requested capability from existing Symbian users; data voice and messaging tracking capability for cost control; panorama image capabilities that stitch together multiple images to create a great photographic experience; and the introduction of a DLNA client for television connectivity. And the fourth change is that we are immediately adjusting our Lumia go-to-market activities. This includes introducing a second wave of Lumia advertising, which is more focused on the key selling propositions and differentiators. We also plan to increase our overall investment in Lumia advertising and expand the number of in-market activities that have worked well, like the Smoked by Windows Phone campaign in the U.S. and the satisfaction guaranteed program in India. Plus, we'll continue to invest in exclusive third-party applications for Lumia. In Mobile Phones, we are taking 4 near-term actions. First, you will see products that deliberately address some of the competitive challenges that we have in the feature phones segment. Second, we are piloting new approaches to achieve a lower-cost supply chain while also working with suppliers to improve our time-to-market. Third, we plan to continue to drive down to new price points for devices with rich Internet experiences by bringing our proxy browser and web app support down to the super low end of our portfolio. And fourth, we are enhancing our Mobile Phones social networking support. For example, by adding support for Arabic Facebook and improving Twitter integration. Relative to our Location & Commerce business, our focus is shifting from establishing the new platform to increasing its ability to generate value. Some of this work is becoming apparent with our new applications, including Augmented Reality. And we're pursuing more partnerships, such as our recent announcement with Groupon. And yet, even with these near-term changes, the market conditions and our own situation make it necessary for us to pursue more substantial changes. We estimate that we have delivered approximately EUR 700 million of run rate savings against the more than EUR 1 billion cost savings target in Devices & Services. We plan to accelerate and substantially deepen our cost savings. Our communications to you and other stakeholders around the new target will coincide with the decisions necessary to focus our strategy. We are acting with urgency, and we will share these details with you as quickly as possible. We are assessing the specific steps we plan to take, and it is clear that there are certain things that we will pursue with urgency. We are further accelerating our efforts to compete effectively in the low end of smartphones. We are leveraging our feature phone asset to drive improved business results. We're improving our Lumia go-to-market strategies, including how we increase focus on specific markets and user segments. We are emphasizing sustainable competitive advantage in areas like design and where Nokia has intellectual property advantages, like optics and photography. We'll leverage the disruptive opportunity ahead with Windows 8 and believe the associated positive halo effect will raise the profile of Windows Phone. We're prioritizing investments and opportunities for the next industry disruptions. We plan to identify noncore assets and aim to dispose of them appropriately. And we will focus on making any necessary changes to our organization, structure or team that would be complementary to our renewed focus. At the same time that we are modifying the operating model for the company, our need to harvest and preserve cash remains paramount. While Timo will go into more detail on our cash position, I wanted to note that with EUR 9.8 billion of gross cash and EUR 4.9 billion of net cash, we have strong liquidity and a strong capital structure, which will help us move through this transition. As you will have already noticed from our release today, Colin Giles, our Executive Vice President of Sales, has decided to leave the company to be closer to his family. With Collin's departure, we will reduce a layer of sales management to ensure greater focus in providing senior leaders greater visibility in the market dynamics. Colin's leadership has been very valuable as we shifted Nokia's strategy, and we truly appreciate Colin's commitment and many, many contributions to Nokia over the years. In summary, we are now beginning through a significant company transition within an industry that continues to evolve and shift. Over the last year, we have made progress against our new strategy, but we face challenges as we move forward. We recognize what these challenges are, and we are intensely focused on responding urgently, so we can accelerate our success and create value for our shareholders. Timo, I'll turn it over to you.
Timo Ihamuotila: Thank you, Stephen. In my comments today, I'll pay particular attention to the need to reduce our cost structure, and I will provide a deeper-than-normal analysis of our cash and cash flow situation. So starting with costs. We are acting with urgency in Devices & Services to focus on ensuring that we maintain a strong financial position during the current transition period, as well as our ability to continue to invest appropriately in our strategy. As Stephen said, we recognize that in our current situation, we need to accelerate and substantially deepen our cost savings from the current more than EUR 1 billion target. In addition, we are looking to reduce fixed production overheads and shared corporate costs and further focus our operating expenses in location and commerce. We intend to also identify noncore assets and dispose of them appropriately. Clearly, we are a smaller company, thus costs need to come down and we are looking at all areas. Then shortly on our IPR royalty income before we move to the quarter. In our press release today, we disclosed that we estimate that our current annual IPR royalty income run rate is approximately EUR 0.5 billion, and it has been growing over the past year. This is reported within Devices & Services Other, together with Vertu and spare parts. This clearly shows that we are effectively monetizing our industry-leading IP portfolio. Now turning to the quarter. In Q1, Devices & Services net sales of EUR 4.2 billion were down 29% sequentially and down 40% year-over-year. Our Smart Devices net sales decreased 38% sequentially as unit volumes decreased by 39% and ASPs increased by 2%. Also in Q1, our Mobile Phones net sales declined by 24% sequentially, driven by lower unit volumes and helped a bit by slightly higher ASPs. Devices & Services and non-IFRS gross margin in Q1 was 24.4%, down 140 basis points sequentially. The decrease was driven by a lower gross margin both in Smart Devices and Mobile Phones, partially offset by an increase in Devices & Services Other gross profit. In Q1, Devices & Services overall non-IFRS gross margin was positively impacted by 100 basis points related to foreign currency hedging. At the present time, we expect a 90-basis-point positive impact to Q2 gross margins related to hedging activities assuming static foreign currency rates at the end of Q1 levels. But these could change due to intra-quarter fluctuations in rates. In Q1, on a sequential basis, Smart Devices gross margin decreased by 430 basis points and Mobile Phones gross margin decreased by 180 basis points. The main drivers for the declines are listed in our press release. Then a word of caution on our Devices & Services business unit contribution margin comparability. As Nokia is going through its major transition, the changes in the shared operating expenses allocation rate ratio can have a big impact on business unit contribution margins and make the comparability difficult. For example, the Mobile Phones business unit is currently bearing a relatively higher proportion of the allocated operating expenses as common expenses are mainly allocated based on planned relative net sales and gross profit. Then moving onto OpEx. In Q1, Devices & Services non-IFRS OpEx was EUR 1.1 billion, down approximately EUR 140 million on a sequential basis. Year-over-year, our Devices & Services OpEx was down 15% reflecting OpEx control combined with structural actions we've taken over the past year. We estimate that our current OpEx run rate in Devices & Services is now approximately EUR 4.6 billion annually, which represents a decline of over EUR 700 million from the full year 2010 level. We have made good progress on our cost-reduction program. Devices & Services non-IFRS operating margin was negative 3% in Q1, down sequentially from a positive 4.9% in Q4. The decrease in operating margin was driven by lower gross margin as well as a negative operating leverage. And now to Location & Commerce. Reported net sales in Q1 were EUR 277 million, down 9% sequentially and up 19% year-over-year. On a sequential basis, the decrease in Location & Commerce net sales was primarily driven by seasonally lower sales to PND customers as well as lower sales of map update content license fees in the vehicle segment. In Q1, Location & Commerce non-IFRS gross margin was 77.7%, virtually flat sequentially with the sales mix staying nearly unchanged from Q4. Location & Commerce non-IFRS operating margin was 12.9% in Q1, up 340 basis points sequentially, driven by more focused investment in OpEx. Then turning onto Nokia Siemens Networks. In Q1, NSN's report the net sales were EUR 2.9 billion, a 23% sequential decrease driven primarily by seasonality. Services represented slightly over 50% of NSN's Q1 net sales. NSN's non-IFRS gross margin in Q1 was 26.6%, down 260 basis points sequentially, primarily driven by an unfavorable product mix as well as lower seasonal revenues. In Q1, NSN's non-IFRS operating margin was a negative 5%, reflecting lower net sales, gross margin and negative operating leverage. NSN is executing solidly on its new focused strategy and its restructuring program. This is part of NSN's ongoing work to strengthen its position as an industry leader and become a more independent entity. The restructuring program is targeted to reduce NSN's non-IFRS annualized operating expenses and production overheads by EUR 1 billion by the end of 2013 compared to the end of 2011. Cash preservation is a clear priority at NSN, and the company intends to be self-funding in all aspects of its operations. NSN's restructuring program combined with the company's focus on improving its financial performance is designed to enable the company to end 2012 with higher net cash than at the end of 2011. In Q1, NSN made good initial progress under their restructuring program and was able to recognize restructuring and related charges of EUR 772 million. Also NSN had a particularly strong quarter from a deal-momentum perspective in, Q1, securing record-sized deals that are expected to generate revenue in 2012 in priority countries, including Japan. A good example of that was the LTE deal with SOFTBANK MOBILE we announced on Monday. Overall on LTE, NSN has won a market-leading 53 commercial LTE deals. In the first quarter 2012, NSN's contribution to net cash from operating activities was approximately EUR 410 million. This was driven primarily by working capital improvements, partially offset by operating losses. In the first quarter 2012, NSN working capital performance improved by EUR 540 million, primarily related to significantly improved accounts receivable collection, as well as advance payments from customers. At the end of Q1, NSN's contribution to Nokia's gross cash was EUR 1.5 billion and NSN's contribution to Nokia's net cash was approximately EUR 260 million. Then turning back to Nokia as a whole. In Q1, financial income and expenses net was negative EUR 129 million. This was approximately EUR 50 million higher than expected mainly due to foreign exchange losses. As a reminder going forward in 2012, we expect financial net to be an expense of approximately EUR 75 million per quarter or a run rate of EUR 300 million annually. This is higher in -- it is higher than in 2011 due to higher net costs related to hedging our cash balances as well as higher costs related to NSN financing. Nokia taxes continue to be unfavorably impacted by NSN's taxes as no tax benefits are recognized for certain NSN deferred tax items. In Q1, one quarter tax expenses in Devices & Services also had an unfavorable impact. If Nokia's estimated long-term tax rate of 26% had been applied, non-IFRS Nokia EPS would have been approximately EUR 2.1 million and higher in Q1 2012. And then on cash. We ended the first quarter with a gross cash of EUR 9.8 billion and net cash balance of EUR 4.9 billion. We have a clean balance sheet, conservative capital structure and strong liquidity profile. In Q1, net cash and other liquid assets decreased by approximately EUR 700 million sequentially, primarily due to unfavorable and mostly nonrecurring net working capital changes in Devices & Services, operating losses, capital expenditures and cash outflows related to restructuring, partially offset by a positive contribution from NSN and the receipt of quarterly platform support payment from Microsoft. This quarter, it is important to get into the details of working capital. In Q1, Devices & Services net working capital changes had a negative impact of nearly EUR 600 million on net cash and other liquid assets. In Q1, the negative working capital change in Devices & Services was primarily due to accounts payable balances declining more than the combined declines in accounts receivable and inventory balances, resulting in an unfavorable change on the cash conversion cycle. Ending days of sales outstanding were higher sequentially, resulting from a lower proportion of net sales in regions with faster payment terms, including India and China. Also, ending days of sales in inventory were higher sequentially, resulting from the ramp-up of Lumia devices. Absent similar fluctuations in the composition of Devices & Services net sales and inventory, we expect the unfavorable impact of Devices & Services working capital changes in the first quarter of 2012 to be mostly nonrecurring. We are focused on improving Devices & Services working capital performance and we see opportunities to improve inventory, accounts payable and accounts receivable management over the remainder of 2012. And we hope to make progress already in Q2. Clearly, the shift in regional mix as well as the change in inventory rotation we saw in Q1 is not the trajectory we see going into Q2. Plus, over half of our cash burn in Q1 was driven by working capital fluctuations in Devices & Services, which we would expect to be mostly nonrecurring. The rest of the cash outflows was due to negative profitability and cash outflow related to restructuring, taxes and financial items partly offset by the received platform support payment for Microsoft. While majority of the negative cash flow is driven by net working capital changes, it is still true that our P&L situation has deteriorated. We understand that in order to maintain a strong financial position, we must act with urgency to reduce our cost structure. Now turning to our guidance. In the press release, you will find full details of our guidance, but I just wanted to highlight that we are operating with limited near-term visibility in Devices & Services and NSN. And with that, I will hand it over to Matt for Q&A.
Matt Shimao: Thank you, Timo. [Operator Instructions] Operator, please go ahead.
Operator: [Operator Instructions] Your first question's from the line of Stuart Jeffrey with Nomura.
Stuart Jeffrey - Nomura Securities Co. Ltd., Research Division: I had a question on your Mobile Phone business. I understand that it's taking time for the smartphones strategy to come through. But I guess I'm less certain or I don't understand why it's taking so long for Mobile Phones to catch up. You struggled with dual SIM and then addressed that. And now you're addressing feature phone or full-screen touch devices as being a bottleneck. And yet I think it's 2, 3 years ago when Series 40 was identified as moving towards touch and type and QWERTY and/or touch. And I guess I'd really like to understand why it's taking so long for Series 40 to make that transition to all touch. And then also as you make that transition, what you can say in terms of giving us confidence that if you are developing your own platform, how you can create a vibrant ecosystem of applications around that, given how hard it was to do that around Symbian, for example.
Stephen A. Elop: So certainly, one of the challenges that we've been addressing, certainly from the time that we launched the strategy revision in February 2011, is the need to accelerate the pace of addressing the challenges in the feature phone segment with Series 40. You'll recall back in February how we talked about incremental investments and really having to apply some engineering talent there. And that's what we've done with the deliberate intent of accelerating the rate at which we are innovating even within the feature phone segment, which is something that had not been moving quickly enough historically. And so you're seeing the results of that. You're seeing dual SIM being tackled and addressed aggressively. You've seen the new Asha products land and beginning to take hold. We're pleased with what's beginning to happen there, but we have more things to do, full touch being an example of that. And so we've been taking some very deliberate steps to not only pick up the pace, but to make it easier to accelerate the pace around the development in Series 40. I mentioned as one example, the acquisition of Smarterphone in this space to give us more flexibility and speed as it relates to the user interface elements, for example, of that platform. So this is -- it's a good example of something where, from a code and engineering perspective, we're paying off a bit of a debt and having to catch up and accelerate. But you're seeing the progress being made. But still in the near term, it causes us some problems, which is what gives me some confidence that we can continue to catch up and address those challenges. It's just that the competition is ahead of us in a couple of spots, and we've got to nail that. Now as it relates to any other platform, our own platform, we have no specific announcements or any information out there about anything like that whatsoever, so it's not really something I can comment on at this time.
Operator: Your next question is from the line of Mike Walkley with Canaccord Genuity.
T. Michael Walkley - Canaccord Genuity, Research Division: Stephen, with checks indicating some encouraging initial Lumia 900 sales at AT&T, while it's early, why do you believe the Lumia sales at both AT&T and T-Mobile in the U.S. exceeded initial expectations where sales in the U.K. disappointed? And what can Nokia do to improve Lumia sales in regions such as U.K. where the initial sales disappointed longer term?
Stephen A. Elop: Great. First of all, it's certainly appropriate to say that as we've been moving through the different launches and so forth, we've learned a lot. We've learned a lot in terms of the messages that, that's land, and making sure that we know how best to prepare retail sales associates. We also have understood quite a bit about focus. I'll say that T-Mobile, as a first example of this, made a very strong commitment right across the retail base, said this is a product that we're going to push if Nokia pushes it with us in a very substantial way. We aligned our interest, aligned our training, got the right price points, did everything we could and okay, it begins to move, which is good, albeit at a smaller scale given that T-Mobile is one of the smaller operators in the U.S. But the same pattern is visible at AT&T. Here we are with one of the nation's largest operators where they've identified this clearly as a key hero proposition where tens of thousands of devices are in the hands of retail sales associates. Training has taken place across the country. We have a variable army of Nokia employees working with those people to deal with objections and so forth. So we're really getting focused and really having an impact. And of course, the Lumia 900, as the product we're going to market within the U.S., with LTE, with the front-facing camera, with the larger battery and so forth, is clearly resonating, of course also because of the design. Now when we come back and look at some of the other markets, the United Kingdom being an example of this, the United Kingdom, it's a bit more difficult to get that much focus around a specific product given the degree to which there's operator segmentation, retail segmentation. You can't go to one place and say, let's get 2,500 retail outlets all doing exactly the same thing. It's a harder proposition. And yet there's lots that we have learned as it relates to retail execution about marketing messaging and so forth, that we will bring back to key markets like the United Kingdom and say, "Okay, what have we learned? Now, we're going forward, soon you'll see the Lumia 900, the 610 and so forth landing in other markets. Let's recycle from there and push forward." So it's about take a step, learn, share that information and keep pushing forward.
Operator: Your next question comes from the line of Sandeep Deshpande with JPMorgan.
Sandeep Deshpande - JP Morgan Chase & Co, Research Division: My question is with regard to the low-end smartphones that you need to target in the Chinese market for instance, do you need a new set of hardware coming from your suppliers? And how -- or can you just rebrand your existing -- or rather change the pricing on the existing Lumia 610 to be able to compete in that market? And secondly, given that there have been some issues with supply from one of your major suppliers, would you have an -- or have you looked at that as an issue into the second half as you ramp up your Windows Phone?
Stephen A. Elop: So first of all, as it relates to different hardware and so forth, one of the things associated with a product line like Lumia is clearly with time, there's opportunities to optimize hardware. So fundamentally from a platform perspective, we don't think we need to make -- we don't have to make hardware changes. But there's opportunity for being more focused on certain components on certain elements of the fab process and so forth for the device that will allow us to drive prices down, so if you like, the erosion approach as opposed to complete rethink of hardware platforms. So as we relate to -- as it relates to that, I think we've got a good strategy. As it relates to potential supply shortages, I wouldn't want to comment on any specifics with future launches. But it is the case that we are in a top tier partner position with each of our critical suppliers. We are -- there's absolutely no ambiguity about the importance of our launches, not only for ourselves, but for the whole ecosystem. It's an important dynamic in the marketplace, and we're confident that we'll get the attention we need from the appropriate suppliers.
Timo Ihamuotila: Timo here. Maybe a quick comment still on China is that we are seeing that these Chinese promotional activities are actually moving to broader set of price range. So of course, the cost of the product is ultra-important, and we want to get as low as possible. But there can be no opportunities on another price points for those promotional activities as well.
Operator: Your next question comes from the line of Mark Sue with RBC.
Mark Sue - RBC Capital Markets, LLC, Research Division: Steve, it sounds like a recurring theme as it relates to you adapting to rapid change in the industry and reducing the cost structure. With the catch-up planned in mind and your intent to accelerate change, can you alleviate investor concerns that Nokia won't operate at a loss for numerous quarters? And then as it relates to Windows, Nokia is all in on Windows, but for Microsoft, Windows can also mean Samsung, HTC and others. How do you plan for that in terms of how the dynamics may change over time?
Stephen A. Elop: First of all, as it relates to adapting to rapid change and so forth, we have very aggressively and consistently since February 2011, demonstrated how we are accelerating, how we are making serious progress with the Lumia line. You see it in the Mobile Phones line. There are some of these challenges, but what gives me confidence is the visibility to the product plans, both the future of Lumia, the future of Mobile Phones and how we have clear plans to address both the trends that are affecting us in the near term, but what we also anticipate those trends to be as we go forward. So I'm very proud of what the organization has accomplished over the last year in terms of huge platform shifts, full ranges of products, opening up the U.S. for the first time, hopefully in a positive way. Time will still tell, but nonetheless, we're really starting to crack the code on a number of these things. And we just have to keep pushing through that. As it relates to the relationship with Microsoft, I mean the entire structure of our relationship is one that gives us unique position as it relates to Microsoft. We are working with them at many different levels every single day across the future product plans for Windows Phone. As it relates to Nokia, there are other OEMs. But I must say that the amount of focus and support we're getting from Microsoft is unprecedented. We appreciate it a great deal. And clearly, our interests are closely aligned as we push forward with these efforts.
Timo Ihamuotila: Yes, and then, Timo here. On the cost side, so we totally understand our need to move fast. And we will not base our targets on that front to unrealistic expectations on top line or on gross margin.
Operator: Your next question comes from the line of Gareth Jenkins with UBS.
Gareth Jenkins - UBS Investment Bank, Research Division: Yes, just 2 quick ones if I could. Just on Lumia, I wondered whether you could give us a sense of whether you've been discounting that to drive volumes up? And if that's the case, how you envisage driving prices up at a later date to increase gross margins? And then just secondly, Timo, you mentioned disposals or potential disposals. Could you give a sense of where you feel those could come from and whether you'd sell the IPR portfolio?
Stephen A. Elop: As it relates to discounting practices and so forth, we've been quite cautious about, for example, the Lumia 800 and managing its price. There's no doubt that there's a natural erosion pattern with any device, and we have to be conscious about that. Also when appropriate from a consumer satisfaction perspective for example, in the U.S. right now, we've been pretty aggressive to make sure that we're taking care of consumers as we go through various things. But our strategy here is not to spike volume through discounting. That's not the right thing for us to do right now. We're making sure things are competitively priced. We're watching the competition very closely, but we're trying to build a meaningful business. We do recognize the need to drive volumes up. And of course, one of the better ways of doing that is what you're seeing and have actually began selling today, the Lumia 610 at lower price points, good market distribution. It's that type of thing that will help us to pick up volume. And of course, you'll see us continue to push down on price point with various devices over time in the Lumia portfolio.
Timo Ihamuotila: Okay. And then on the disposals. So first of all, of course, we are looking at everything, not only IPR. But then when you look at IPR, so we need to look at IPR in these different patent families. We need to have strong enough representation for Nokia in each of the patent families for our defensive purposes. Simultaneously, we can look at, as we have done in the past as well, certain patent family combinations where we can take some patents which are valuable or which could be more valuable outside Nokia than inside the company still keeping our strength. But it is unrealistic with the current business model to say that we could sell the whole IPR portfolio somehow.
Operator: Your next question comes from the line of Jeff Kvaal with Barclays.
Jeffrey T. Kvaal - Barclays Capital, Research Division: Given the policy of not trying to spike volumes with discounting, could we revisit the gross margin structure, particularly in the Smart Devices side of the portfolio? I don't think any of us would like to see the current gross margins stay where they are. What are the factors that could, over time, either keep them in that range or drive them higher? And then secondly a comment, Timo, briefly on the dividend would be very helpful.
Timo Ihamuotila: Okay. So first on the gross margin. So as we said last week on the call, the gross margin on Smart Devices, 16%. So Lumia first of all is higher than that, and Symbian is lower. And clearly as the proportion of the amount of Lumia products on our portfolio continues to increase compared to Symbian, we will aim to use that as a tool to drive the gross margin higher. And then on dividend, I mean we have nothing to add to that topic at the moment. So the dividend proposal, as by the board, is going to the AGM on the third of May. And then the AGM will make a decision on the dividend according to normal process.
Operator: Your next question comes from the line of François Meunier with Morgan Stanley.
Francois Meunier - Morgan Stanley, Research Division: You've been talking a lot about the Lumia 900 launch in the U.S. Maybe could you share with us any number in terms of sell-through that you've done over there? And maybe tell us what should or what could happen when the prices go up for this device? Now another question as well is about what's going on in China and what's going on in Europe? China revenues were down 70%. Europe volumes were down 30% year-on-year. Is there anything beyond just refreshing the thought for you that you could do; something maybe more radical, maybe refocusing the company on smartphones by magically spinning off your feature phone business and selling it to some emerging market player, like Tata or Lenovo and buying yourselves more time with more cash.
Stephen A. Elop: Okay, a number of different points in there. With respect to sell-through, we don't publish that figure, per se. But the sell-through pattern is consistent with the sell-in pattern. There's not abnormal levels of inventory associated with launching products or anything like that, that's unnaturally building up. It is the case that we're just getting started with AT&T. That's a situation where we have to get the product into the market. We've got to catch up with the stock-outs and so forth. And so, the sell-out situation could be improved if we actually had more problem -- or more product in the stores. On the China and Europe side of things, the most important thing that we have to do, and I think you correctly identified this as it relates to China is to refresh product portfolio in certain areas. We're pleased that the very first Lumia products are just moving into China right now. We're in the too early to know what results are and so forth because of the time it takes to get through distribution. The products are literally just beginning to arrive in the stores right now. So that is an effort underway, but over time it's something we have to address on a broader basis across different operators, different price points and so forth. You went on and asked about the feature phone business and so forth. My comment there would be is, I think we need to do a better job with the feature phone business. We needed to have more focus, more quickly address the competitive concerns as we talked about a few calls ago. But at the same time, because of the very thin layer from a user perspective between a feature phone and a low-end smartphone and so forth, we look at the feature phone business as something that's very important to have in our portfolio. It's something that we think is important going forward, and we'll be operating with that in mind.
Operator: Your next question comes from the line of Simon Schafer with Goldman Sachs.
Simon F. Schafer - Goldman Sachs Group Inc., Research Division: I wanted to go back to this discussion on margins in the Mobile Phone division. I mean I understand that there's been some reallocation of fixed cost as it were, but the margin's clearly below 5% now. And I think everything you've said in terms of ASP pressure and some of the changing dynamics in the ecosystem broadly, either because of Android or Chinese competition more broadly. I guess my question is, do you think your cost savings plan are really quick enough and sufficient enough to keep this above breakeven, just in the assumption that perhaps your market share is at risk just in coming quarters?
Timo Ihamuotila: Yes. So first of all as we said, allocations as they are, and it's important to note here that these allocations are exactly the allocations what are used to evaluate the business units. So there is nothing here internally, which would somehow change the composition of the targets for the people. The targets are what they are and those targets are the ones which we need to be aiming for. But then if we look at the overall situation, so clearly, we need to improve the Mobile Phones business also from the top line perspective driving more of innovation to the market, which we are doing, for example, with the proxy browser bringing new capabilities, new touch capabilities to the product portfolio and also having a simultaneously, a more efficient business model driving costs down. So we really have to do both things here.
Operator: Your next question comes from the line of Zahid Hussein with Citi.
Zahid S. Hussein - Citigroup Inc, Research Division: Just 2 quick ones for me. One on IPR income. It seems like it's going to be down year-on-year even when we exclude the prepayment, which we received from Apple last year. Just want some comments around that. I mean it looks like we've got a big move to 3G. Obviously, you've got some of your key revenue contributors actually growing their market share meaningfully this year. So just some comments around why would IPR income be down. And secondly, when you're talking about noncore assets that could be disposed of, could you give us some sort of size in terms of the revenue base or the profit contribution?
Timo Ihamuotila: So basically on the IPR income, so we are talking about run rates, so it's simply wrong to say that it would be down, and it is not. So we are talking about run rate. And here, we wanted to signal to the market the value of our IPR by giving an annual run rate. It is based on a moving average estimate. So for competitive reasons, we are not disclosing the exact quarterly number that is still reported as part of our Devices & Services Other.
Operator: Your next question comes from the line of Kulbinder Garcha with Credit Suisse.
Kulbinder Garcha - Crédit Suisse AG, Research Division: Just a couple of quick ones. Timo, could you please just qualify how big the warranty benefit was in margins, either in Smart Devices or in overall Devices and Services? Was it more than a percentage point, was it less? Also then a question for maybe Stephen, on your Smart Devices, your gross margin is 16%. I guess there's a chance, it depends upon the math, that your Windows gross margins are below 20%. I'm just wondering if that really is the case, can you even make money in the Smart Devices business? How much restructuring do you want to do because that seems like a very low level to start from, or is the level above 20%? I'm just trying to figure out how aggressively you priced these phones and why profitability could necessarily improve the delta -- unless the delta between Symbian and Windows is quite, really quite significant. Any comments on that would be helpful.
Timo Ihamuotila: Okay. So first of all, on the warranty question, and thanks, Kulbinder, taking that again. And we're really following here a normal practice what we have at Nokia. So basically, if we have certain items, which are inside the non-IR results, but they are nonrecurring, we try to call them out to be transparent. This is a similar item as the Symbian allowance was for us during the fourth quarter where we also said that it impacted the margins. And we are doing the same here with the warranty. But I really cannot give more detail on that.
Stephen A. Elop: With respect to the gross margin question, first of all, the pattern here is that the difference between Symbian and Windows Phone is real. There's no question about that given the nature of lower-priced Symbian devices, quite often in markets like China and so forth moving in larger volumes. So the impact is real there for sure. But the way I think about the gross margin opportunity is very closely related to innovation and the ability to differentiate. If you remember all the way back to our announcements with Microsoft when we first entered the Windows Phone ecosystem, we entered that ecosystem knowing that we were joining the pattern of software releases and chassis requirements from a hardware perspective after the train had already left the station for the current round of devices. So while we have differentiated in a beautiful way with design and unique apps and things like that, there's so much more we can and should be doing in a number of other areas. And of course, with upcoming potential software releases and so forth, you'll see some really great examples of that landing. And it's through some of that differentiation that we think we can drive gross margins to higher levels as we go forward.
Kulbinder Garcha - Crédit Suisse AG, Research Division: Just to be clear, Stephen, your business model, I guess, would depend upon, let's say, whenever the Windows gross margin base level is currently, on that small 2 million number, you would actually expect it to rise from current levels over time.
Stephen A. Elop: Yes, I mean we're clearly -- focus consistently on driving that number upwards. There's no question about that. So we're just getting started with products that are great in the market right now, but we think we can do a lot better than that.
Timo Ihamuotila: So 2 main points here would be, in my opinion, operating leverage and differentiation exactly as Stephen said.
Operator: Your next question comes from the line of Tim Long with Bank of Montréal.
Tim Long - BMO Capital Markets U.S.: Just 2 quick ones if I could. First, Stephen, on the emerging markets ex-China business, could you just talk a little bit about the risks of some of the trends in China starting to hit those businesses a little more specifically, more of the Chinese OEMs other than just Huawei and ZTE getting external as well as potentially change from a retail to a distribution model? And then just to follow up on the IPR, if you could just give us a sense, Timo, on how far along are we with vendors or with units? So if you could just give us a sense of what percentage of the major vendors are contributing to that run rate? And how much more room is there to go there just so we can get a sense as to how much room there is left to grow?
Stephen A. Elop: Tim, I think the -- when you think about China and the effects of China, there are certain things happening in China that, of course, are things that could be risky or are already things that are risky elsewhere in the world. And there are some things that are very unique to China. And so in the category of very unique to China, it is the degree to which the operators are optimizing for certain things, in particular, the number of 3G data subscribers as prescribed to them by the Chinese government. That changes behavior and the structure of how they go to market and the things they're willing to do. And you see that in the market now where it was a case a couple reasons, I don't know if it's still true today, but virtually every single device that is being sold at these lower price points as part of these bundling deals with the Chinese operators, are themselves Chinese-manufactured devices. Neither ourselves nor Samsung had devices in those ranges as recently as a couple of weeks ago. So that's something that's pretty unique to China in terms of all of a sudden the operators, over the last year or so, really been willing to step up and say, "We're going to do something different and drive a different pattern." That's not something that easily translates to other markets. So if you look at a market like India, for example, where there's a much larger number of operators who don't have that same market reach or government support if you like, it's harder to imagine that, that phenomena would spread. But when you think about low cost, unbranded Chinese manufacturers, that's certainly a risk in some emerging markets. India, parts of Africa for sure, because of the Chinese presence in Africa. But I would say that the one that is of greater risk relates to the branded manufacturers where you see certain brands in China now beginning to spread to other parts of the world. We have to compete with them very vigorously. And of course, that's why as it relates to feature phones, we talk about the continued renewal of our portfolio there, the increased investments in R&D, as well as, as it relates to low-end smartphone capability, the need to just keep pushing down with Windows Phone, get into a model where we can compete directly with our core product lines. So I think we're positioning for the right things, but there's some trends working against us in the near term.
Timo Ihamuotila: Okay. And then on the IPR, so unfortunately, I can't give more color on the rates, but it's important to note that I said that this run rate has been growing during the year. And also, it's important to note that there are basically 2 kinds of patents. We have the essential patents and then we have the implementation patents. And we still have a very large patent pool, which is unlicensed. So we see good opportunities here.
Operator: Today's final question will come from the line of Kai Korschelt with Deutsche Bank.
Kai Korschelt - Deutsche Bank AG, Research Division: I had one and a follow-up, please. The first one was just a clarification on the additional comment you provided in the release on the Microsoft payment mechanics. I think you indicated the minimum license payments to Microsoft are actually similar in size to the billion or so run rate that Microsoft is paying you. I'm just wondering, have you actually paid these minimum license fees yet? Or is there actually a lag between when Microsoft pays you and when you pay those licenses? And then the second question was just if you could maybe give a bit more color on the revenue outlook for NSN? The second quarter, looks like the margin guidance is pretty good for them to improve. Is there a top line improving or is that mostly cost cutting?
Timo Ihamuotila: Okay so first of all on the license agreement. So basically, there we have 2 dynamics: We have the platform payment and then we have also said that we have a competitive royalty rate with Microsoft with some minimum royalty commitment. And we have also said that we expect that from cash flow perspective, the agreement will support Nokia during the transition, i.e., meaning that the cash flow would be clearly in our favor in the front end of the contract. We are paying royalties for the devices, what we are shipping now to Microsoft. But as I said, the cash flow dynamics at the moment are clearly in Nokia's favor. And then on NSN, when we look at NSN, we are really pleased with how NSN is executing both on its deal momentum as well as on its current strategy. If we look at the, first of all, the deal momentum and the drivers for the NSN guidance, so we said during this quarter that there was high proportion at -- higher proportion of lower margin services sales in the NSN portfolio. We will expect that dynamic to reverse itself, so we would expect to get benefit both from top line as well as from gross margin provided that the mix moves into more favor of the mobile broadband side.
Stephen A. Elop: So just to close the call for everyone. Clearly, over the last year, we progressed against our new strategy, quickly delivering 4 Lumia devices, a whole range of Mobile Phones products. But clearly, we're also facing some real challenges. We've recognized those challenges, we're making deliberate changes. And we're clearly responding very urgently to create value for our shareholders. We'll have more to share with you as soon as possible as it relates to some of the decisions and things that we will be doing. That will become clear in the time ahead, and we look forward to talking with you more as that becomes appropriate.
Matt Shimao: Ladies and gentlemen, this concludes our conference call. I would like to remind you that during the conference call today, we have made a number of forward-looking statements that involve risk and uncertainties. Actual results may therefore differ materially from the results currently expected. Factors that could cause such differences can be both external, such as general, economic and industry conditions, as well as internal operating factors. We have identified these in more detail on Pages 13 through 47 of our 2011 20-F and in our press release issued today. Thank you.
Operator: Ladies and gentlemen, this does conclude the Nokia First Quarter 2012 Earnings Conference Call. You may now disconnect.